Operator: Good day ladies and gentlemen, and welcome to the Unique Fabricating Fourth Quarter and Full Year 2021 Earnings Call and Webcast. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Rob Fink, Managing Partner of FNK IR. Sir, the floor is yours.
Rob Fink: Thank you, operator. I would like to welcome everyone to Unique Fabricating's fourth quarter and full year 2021 earnings conference call. Hosting the call today are Doug Cain, Unique Fabricating's President and Chief Executive Officer; and Brian Loftus, Unique Fabricating's Chief Financial Officer. Before I turn the call over to Doug, I'd like to remind everyone that matters discussed on this conference call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 that are subject to risks and uncertainties. Forward-looking statements relate to future events or to future financial performance and involve known and unknown risks, uncertainties and other factors that may cause the company's actual results, performance or achievements to be materially different from any future results, levels of activities, performance or achievements expressed or implied by statements made on today's call. All forward-looking statements are based on management's present expectations and are subject to certain risk factors, uncertainties that may cause the actual results, outcomes and performance to differ materially from those expressed by such statements. These risks and uncertainties include, but are not limited to, those discussed in the company's annual report on Form 10-K and the quarterly reports on Form 10-Q that are filed with the SEC pursuant to Rule 424(b) and in particular, the section entitled Risk Factors. All statements on this call, including those in this afternoon's press release, are made of today, and Unique Fabricating does not intend to update this information unless required for law. In addition, certain non-GAAP financial measures will be discussed during this call. These non-GAAP measures are used by management to make strategic decisions, forecast future results and evaluate the company's current performance. Management believes the presentation of these non-GAAP financial measures are useful to investors in understanding and assessing the company's ongoing core operations and their prospects for the future. Unless it is otherwise stated, it should be assumed that any financials discussed in this call will be on a GAAP basis. Full reconciliations of non-GAAP to GAAP are included in the press release that was issued after the close today. With all that said, I'd now like to turn the call over to Doug Cain. Doug, the call is yours.
Doug Cain: Thank you, Rob and good afternoon, everyone. Unique Fabricating, Brian and I appreciate your investment of time for our update of the company's outlook, overall operations and financial results. The management team and all our associates continue to work diligently and tirelessly through the industry-wide issues impacting each of our markets. While the company's financial results are not what we would like, we have been navigating these challenges aggressively and with a comprehensive approach. With our actions completed to date and ongoing initiatives, we are one of the stronger and more capable suppliers in our competitive space and well-positioned to realize the benefits as the supply chain issues continue to normalize and volumes increase. Throughout this period, we have been committed to maintaining excellent customer service, providing timely delivery of quality products, earning additional customer certifications, including the prestigious Ford Q1 and winning new business in each of the markets we serve. As highlighted in the last call, the continuing challenges for the supply base are leading to resourcing and new business opportunities for Unique. Like many suppliers who have already communicated results, our Q4 operations were negatively impacted by the ongoing shortages of raw materials and labor, challenging all levels of the supply chain, reducing production and leading to Q4 revenue of $30.1 million or slightly above the Q3 level of $29.9 million. With the resulting loss of contribution margin, the low levels of demand significantly reduced production volumes and continued to negatively impact our financial results, along with the complexities of effectively flexing costs to the changing release schedules. On the supply side, the labor availability challenges related to COVID and cost increases in our supply chain, including labor, logistics, packaging and raw material persisted through Q4 with some costs continuing to increase above Q3 levels. Over the last months, these factors negatively affected our margins, along with the continued impacts of operational inefficiencies resulting from the ongoing short or no notice customer order fluctuations. While we have seen and do expect to see continued challenges through the first half of 2022 from the chip shortage and other factors outlined previously, we are experiencing improving supply chain availability and higher customer demand volumes with somewhat less short-term fluctuations. We do continue to see increasing costs that have been exacerbated by the persistent higher inflation throughout the supply chain. I remain very proud of how our entire team has met these existential challenges head on. We continue to respond effectively with the focus on taking care of customers. We are strengthening our position as a partner upon whom our customers know they can rely. As we continue to augment our capability and to focus on customer satisfaction, these conditions create opportunities for Unique. We remain confident that we have taken the necessary steps to drive improved performance as volumes increase. As previously highlighted, we have sustained our comprehensive cost recovery activities initiated during Q2 of 2021. We have now pivoted to a more targeted approach focused on specific programs most negatively impacted by higher logistics and specific raw material costs, which have continued to increase. On an annualized basis and when fully realized by the end of Q2, these additional activities will have an approximate $2.0 million annualized improvement in operating margin, thereby partially offsetting the higher inflationary costs we continue to see. For certain smaller customers, we implemented a more significant price increase and higher minimum order quantities. These actions improved the efficiency and productivity of our plants by reducing complexity with minimal revenue impact. We completed our salaried and commission cost reduction and capability increase initiative with a net annualized savings of approximately $1.8 million fully effective in March of 2022. These savings are and will be primarily reflected in reductions of our SG&A costs. We have continued our tactical investments in laser cutting and robotics to improve our operating margins in a sustainable manner through reducing labor costs and improving material utilization. In 2021, we secured $100 million in COI, customer order intake, during a very difficult year for our transportation market customers, who spent much of their time navigating through vehicle production shutdowns due to microchip shortages, raw material force majeures, delayed launches and industry-wide commodity price increases resulting in delayed sourcing activity. For reference, we won $206 million of COI during 2020. We continued our focus on market diversification with 16% of our 2021 wins in the appliance market, 8% in the medical and consumer goods markets, and 76% of the transportation market. With our historic sales split being 88% transportation, 10% appliance and 2% consumer and medical. With supplier struggles continuing, we have also been able to win incremental takeover business outside of a normal sourcing cycle. Key new business wins with consumer goods customers like Jacuzzi and [indiscernible] set the basis for long-term growth in these markets. Our quotation activity we mentioned on the last conference call has continued, and we are improving our success rate on quoted and sourced opportunities. Year-to-date 2022, we have secured approximately $25 million COI, with approximately 30% of this non-automotive. We have identified key targets to realize additional wins with medical device suppliers. In addition, we are exploring collaborations with adjacent suppliers for expanded product offerings in the areas of impact films and formed optical films. The transportation market shift to electric vehicles presents incremental opportunities for Unique, as EVs demand additional emphasis on NVH, noise vibration harshness, and BSR, buzz, squeak, rattle mitigation products, weight reduction and climate control efficiency, all of which can be supported by parts we manufacture. Unique has been awarded parts on multiple new EVs, including Ford Mach-E, F-150 Lightning, Rivian R1S, Hummer EV, Cadillac LYRIQ, Lucid Air, VW ID4 and all current Tesla models. We expect 5% of our total sales to be attributed to EVs in 2022. In 2023, we forecast that number to grow to 6%. Going forward, we believe that percentage will outpace the industry growth as Unique's manufacturing footprint is very favorable to the recently announced automotive OEM EV investments. Light-duty new vehicle inventory has continued at historically low levels with approximately 1.0 million units on hand over the last five months compared to more than 3 million each month throughout 2019 and 3.4 million units March 1, 2020 pre-COVID. Resulting from the low inventories, U.S. light vehicle sales continued to be less than previously forecasted, providing additional pent-up demand, supporting a positive longer term outlook. The seasonally adjusted annual sales rate, or SAAR, dropped to approximately 12.8 million units in Q4 2021 versus 16 million in Q4 of 2020. Based upon available sales data to date, the SAAR for Q1 2022 is expected to exceed Q4. After holding steady over the prior months, the independent North American automotive forecast as of March 16 dropped 3% from February's forecast to 14.7 million units of production or approximately 13% above 2021. With approximately 13 million units produced, 2021 was on par with the low 2020 volumes. The combined production from 2020 through 2022 forecasted volumes indicates an approximate shortfall of more than 9 million units from the average of the last four pre-pandemic years. This prolonged production shortfall and the low inventory levels lead to a positive North America production outlook for 2023, with 16.7 million and an average of approximately 17.0 million units through 2027. Over the most recent quarters, with the supply shocks impacting production, we do note that these third-party production forecasts have been optimistic. However, the last few months updates have proven to be more accurate and stable. We recognize that the impacts of the events unfolding in Ukraine as well as the Japan earthquake are having a substantial negative impact upon European and Asian production. As of now, these specific issues do not yet appear to be affecting North America production except for contributing to the increasing raw material and logistics costs. Including the positive impact from our COI over the last two years and utilizing the third-party forecast for 14.7 million units produced in 2022, we see our first quarter 2022 revenue to be within a range of $34 million to $35 million. We are forecasting between $36 million to $38 million for Q2 and between $75 million and $79 million for the second half of 2022 for a full year forecast between $145 million and $152 million. With overall supply chain issues continuing to improve through 2023, production levels normalizing to an average of approximately 17 million units and pent-up end customer demand remaining, we're now forecasting a 2023 sales range between $169 million and $179 million. While we tend to focus on the transportation market in our communications, we see similar positive trends for demand and improving supply chain conditions, both near-term and longer term in our other markets where we also see higher supply chain cost. Over the last months, the entire management team has worked successfully to complete remediation work of the prior period's material weakness findings. As we also completed the appropriate filings related to income tax loss carrybacks and employee retention credits over the last months, we're expecting a combined $2.1 million from the United States government over the next few months with exact timing subject to the myriad challenges the IRS is currently facing, which have been causing delays. We continue our collaborative work with our bank syndicate as we develop a longer term framework to enable the execution of our growth plans. To date, we continue to maintain sufficient liquidity for us to operate in these challenging times. Brian will now provide an overview of our fourth quarter and full year 2021 financial results.
Brian Loftus: Thank you, Doug. Good afternoon, everyone. Turning to the fourth quarter results. Net sales for the fourth quarter of 2021 were down $4.9 million or 14.2% to $30.1 million as compared to $35 million in the fourth quarter of 2020. The decrease in net sales as compared to the same period in 2020 is primarily due to decreased demand for our products as some automotive original equipment manufacturers canceled or reduced planned production due to semiconductor and other supply shortages. Also contributing to the decrease in net sales was the $0.7 million of net sales in the fourth quarter of 2020 from our N95 face mask project, which did not reoccur in 2021. Partially offsetting the sales decrease from the impact of the supply shortages and the 2020 N95 face mask project was our cost recovery efforts where we passed some of our cost increases to our customers through price increases. Of the $30.1 million net sales for the fourth quarter, transportation market accounted for approximately 88%, appliance at approximately 10% with the remaining 2% primarily attributable to our consumer off-road market. Gross profit for the fourth quarter was $3 million or 9.8% of net sales compared to $5 million or 14.4% of net sales from the same period last year. The decrease in both gross profit and gross profit as a percentage of net sales reflects the higher manufacturing costs, the inefficiencies of the operating environment and the impact of lower operating leverage because of lower sales volumes, all of which were partially offset by our cost recovery efforts. Selling, general and administrative expenses for the fourth quarter of 2021 were down to $5 million compared to $6.9 million from the fourth quarter of 2020. The decrease in SG&A was primarily the result of lower employee related costs, including salaries and benefits, lower bad debt expenses and lower amortization expense, as certain intangible assets became fully amortized since the fourth quarter of 2020. Operating loss increased slightly to $2 million for the fourth quarter of 2021 compared to an operating loss of $1.9 million for the same period last year. This slight increase is encouraging considering that revenue declined $4.9 million, speaking to the cost reduction efforts we have put in place over the last year. Interest expense was $0.7 million for the fourth quarter of 2020 compared to $0.6 million for the fourth quarter of last year. The year-over-year increase was primarily due to higher borrowings on our revolving line of credit in addition to higher interest rates because of our forbearance agreement. Net loss for the fourth quarter of 2021 was approximately $1.5 million or $0.13 per basic and diluted share compared to a net loss of approximately $82,000 or $0.01 per basic and diluted share in the fourth quarter of 2020. We had an income tax benefit of approximately $1.1 million in the fourth quarter of 2021 compared to an income tax benefit of $2.3 million in the fourth quarter of 2020. The income tax benefit is driven by our foreign subsidiaries as we have a valuation allowance position in the U.S. tax jurisdiction. For the year, revenue was $125.7 million compared to $120.2 million last year. Gross profit was $16.7 million or 13.3% gross margin compared to gross profit of $20.7 million or 17.2% gross margin in 2020. SG&A was $22.6 million or 18% of net sales compared to $25.5 million or 21.2% of net sales last year. SG&A is reflective of lower amortization expense and of our efforts to control costs throughout 2021. Included in our 2021 SG&A was $1 million of legal and professional fees related to our forbearance agreement and our efforts to remediate our previously identified material weaknesses in our internal control over financial reporting. Throughout 2021, despite the operating challenges, we prioritized our remediation efforts. And earlier in the year, we engaged a third-party firm to assist us with these efforts. During 2021, we completed a risk assessment, performed a GAAP analysis of our internal controls over financial reporting and implemented new or redesigned controls. With the assistance of the third-party firm, we also completed an assessment of the new or redesigned controls to ensure that they were designed and operating effectively. Later today, when we file our annual report on Form 10-K for the year ended December 31, 2021, item 9A will include management's conclusions that our internal control over financial reporting was effective as of December 31, 2021, and that the previously identified material weaknesses contained in our 2019 and 2020 annual reports on Form 10-K have been remediated. Doug and I are especially grateful for the hard work and commitment of everyone that contributed to the remediation efforts. Now continuing with our discussion on our full year results. Our operating loss was $11 million, which includes a $5.1 million non-cash impairment of goodwill compared to an operating loss of $6 million last year, which included $1.2 million of restructuring expenses. Net loss for the year was $7 million or $0.67 per share compared to a net loss of $5.7 million or $0.58 per share. Included in our 2021 net loss is the $6.1 million gain related to the forgiveness of the principal and accrued interest of our PPP loan. I will now provide an update on our financial position and liquidity. Total debt was $48.4 million as of December 31, 2021 compared to $50.4 million as of December 31, 2020, which included the since forgiven $6 million PPP loan. We ended the year with approximately $0.7 million of cash and cash equivalents and $2.2 million of net availability on our revolving line of credit. As of December 31, we were not in compliance with our minimum liquidity covenant of $3 million as set forth by our forbearance agreement as amended, which constitutes a default. Contributing to this default was the double withdrawal of $0.4 million of principal and interest on some of our term debt. By the end of the first week of January 2022, we had more than the required minimum liquidity. We've worked with our bank group, and on February 4, entered into an amendment which waived this covenant default. At no time prior to this amendment were we unable to borrow on our revolving line of credit because of the default. More recently, we completed an amendment to the forbearance agreement, which extends it through May 30, 2022. Finally, as disclosed in our announcement today, when we file our annual report on Form 10-K later today, our 2021 audited financial statements will contain an audit opinion with our independent registered accounting firm that includes an explanatory paragraph related to our ability to continue as a going concern. We have been operating under a forbearance agreement with our lenders since April 2021. Nevertheless, we still have covenant defaults under our amended and restated credit agreement that have not been cured by an amendment and waiver. Without an amendment and waiver that cures those defaults, we are not in compliance with our amended and restated credit agreement and we do not have sufficient liquidity to repay the debt in full, which raises substantial doubt about our ability as a company to continue as a going concern. You will notice that in our December 31, 2021 balance sheet, all debt has been classified as a current liability. Doug will now provide some closing remarks. Doug, back to you.
Doug Cain: Thank you, Brian. Over the last months, we have continued to navigate low customer releases, demand volatility, industry-wide supply chain challenges, higher input costs and the continued impact of COVID. We have focused on improving all aspects of our business, including our customer and supplier relationships in each of our markets. Now that we are seeing increasing customer volumes and some availability improvements in the overall supply chain topics across all our markets, we are poised to generate improved operating results over the next quarters. Our team remains focused on continuous improvement in all areas and are realizing already identified margin enhancement opportunities, which will further benefit operating results as sales volumes increase. We are positive about the mid-term and longer term outlook for our position in the markets we serve. We have a clear path to increasing sales above overall market growth that will improve operating income as we leverage our reduced fixed cost structure. We remain committed to our vision of delivering profitable growth and increasing shareholder value that follows from our brand of providing innovative, optimized and sustainable solutions for our customers. With that, we will open the call for questions. Operator?
Operator: Certainly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from John Nobile from Taglich Brothers. Your line is live.
John Nobile: Hi. Good afternoon, Doug and Brian, and thanks for the call and actually thank you for the expectations, the guidance that you put forth. I know you're doing the best with what you have as far as production forecast. I wanted to focus in on the -- what you call the cost recovery efforts. Now as the quarters go by, you're able to somehow pass those higher input costs along to your customers. But do you feel that you're going to be able to really pass all of that on? Or do you feel that maybe in order to be more competitive that you may not be able to pass all of it, you may have to absorb some of those costs?
Doug Cain: So, John, thank you for the call and hope you're well. That is definitely one of the largest challenges that we have right now is trying to work through that process. So, again, we started early with this. We started early in having concerns about what 2021 was going to look like if you remember. And we took steps -- basically was doing it across the board, cost increase that was not intended to cover all the cost increases because it was intended to be a sharing issue with our customers to maintain the longer term customer relationships because again, we're in this for the long haul. As we got through the year and went through that process, what we now are looking at is very specific programs in which there are certain nuances in places where we are actually bringing some raw material over from Europe that was customer specified for this and which we've seen container rates go from $2,000 and $3,000 a container just 18 months ago to up to $20,000 a container at this period of time. And in those cases, we worked closely, and I'll say, frequently with our customers to make sure that we're able to cost recover those items. We also have a few of our raw materials that have seen outsized price or cost increases, including a couple that are 25% and 30%. So, we've targeted those programs and are confident -- and that's actually part of the $2 million number that I mentioned, John. But no, the -- we were not intending to nor did we think we could try to recover all of the higher cost. So that's also the reason for the focus on the tactical investments that we're making, improving material utilization and reducing labor costs, while at the same time, having ourselves in a position to continue winning new business. And that's been the balancing act that we've been trying to work for.
John Nobile: Okay. Thank you for that.
Doug Cain: John, the other thing again, I know sometimes I forget. I hate to interrupt or step on you. The other thing is as we noticed, again just keep in mind when one looks at margins or operating margin or cost of goods or whatever, that with this higher raw material cost and some of the higher input cost partially offset by the higher revenue numbers, you're basically inflating your P&L a little bit, so that historic margins will look a little bit different than what go forward margins will as long as we're in this inflationary environment.
John Nobile: Okay. Thank you. And if I could talk a little bit about the SG&A expenses in the fourth quarter, it was significantly lower with $4.9 million in the fourth quarter versus last year and even versus the prior quarters of 2021. Now you mentioned that you have further reduced costs right into March, this quarter, reduced SG&A cost. I'm not sure if you put a dollar amount on it. I'm trying to get a handle on what to expect going forward for SG&A. Like Q1 from what you said I believe would be even lower than the $4.9 million level. Is that correct?
Doug Cain: Yeah. What I would say is that we finalized some of the last cost reduction activities that we have been outlining for some time. So, what we are expecting, okay, is a level -- again, I'm going to say, approximately plus-minus of $5 million a quarter, okay? And there's some nuances inside of that, including some of the ongoing costs that we've got for the finalization work on material weakness for some of the other forbearance costs that we've got inside of some of these numbers. And for the first time since I've been here, we are instituted and are accruing for a salaried bonus program. So, yes, the core costs were reduced. But we've now made sure that we've at least put inside a salaried bonus program being accrued, so non-cash at this point, as well as having some of these other -- I won't call them one-time cost because they'll be going on for a little while longer. So, we're expecting basically a $5 million plus-minus run rate per quarter over the first couple of quarters that we have and then hope to be able to reduce that a little bit more for the reasons when the longer term agreement is established and some of this other work is complete. And I appreciate you recognizing that there's been a substantial effort that we've done, which just provides us this upside leverage as revenues increase.
John Nobile: Yes. And if I could just talk about the electric vehicle market, I wanted to bring that up, what you did in your prepared remarks, saying that there's going to be a slight increase from 5% of total sales to 6% of total sales of electric vehicles now. Did you say that that's going to outpace like the overall North American full production rates, for instance 10%, say if it was a North American vehicle production increase, it would be even a higher rate on the electric vehicles? Is that correct?
Doug Cain: Yeah. Let me -- that was a little bit difficult for me to try and figure out how to exactly frame that. So, part of what you have when we've had this lower amount of production in which vehicles were produced. So as an example, we're on Tesla, but Tesla was running a whole lot of production relative to some of the other OEMs in 2021. So, you won't see the growth in that into 2022 while some of the other OEMs are building more non-EV vehicles. So, we're kind of in a little bit of a funny place where you may be increasing your volume, but it doesn't particularly show because of that factor I mentioned. What we were trying to communicate is that we are focused on winning business here. Our products fit for this. We have been winning these programs. And as you know from reading the press, a lot of these programs have been delayed a little bit. They're having their own supply chain issues. What we believe and based upon the business that we are quoting in the business that we've won is that our increase in our EV sales will be higher than what the increase in the overall market production is. So, we will see this number increase year-over-year. I don't have an outlook into 2024 and 2025, but we expect this number to increase slightly higher than what the rest of the market does. That's a lot of words. Hopefully, that explained it.
John Nobile: No, no. That I understand. And you did mention that you need more of the -- your product in a typical electric vehicle than say a gas powered vehicle. I'm trying to get an idea of about how much more. And I know that depends on the certain vehicle. But if you could like take a typical vehicle or the average electronic vehicle -- electric vehicle over say a gas powered vehicle, how much greater percentage of your product sound dampening, et cetera, would go into that vehicle versus a typical gas powered vehicle roughly? I don't know if you have any indication or idea of what that could be.
Doug Cain: What I'm going to give you is a whole lot of years of experience and just trying to give you a ballpark estimate, and maybe I'll phrase it a different way. What we are targeting to do -- overall, I'll start with that and we'll begin communicating this number as another non-GAAP metric kind of like our COI is, which is our dollar value per car produced in North America, so that we get a sense of what is our content share in vehicles. So that's something we've begun to internally work on to have a number that makes sense both past for comparison and the future. What I would tell you is likely you're talking about maybe a 15% or 20% on average number would be kind of sort of a number, but that depends upon a lot of different factors. But sound deadening and ride handling and ride comfort and these kind of things are more important as vehicles basically become mobile computers. And so, therefore, for all the reasons it makes sense. So that's just a ballpark, but I can work on that and provide a little more in the next couple of ...
John Nobile: Okay. And I just wanted to get a feel for how much more of your product sound deadening and all that would go into it versus a typical gas powered. And given the rise in gas prices, I could see electric vehicle market only being on the increase in the years to come.
Doug Cain: Yeah.
John Nobile: I don't want to take up this whole call. I have just one final question. I know we're talking about automotive production. But with the current chip shortage, which -- it's adversely impacted your vehicle production rates. Obviously, that's not news. But has the chip shortage impacted your appliance business in any degree? And what is your outlook for this business in the current year?
Doug Cain: Okay. So, what I would say is, yes, it certainly was impacted as it was impacted by COVID and labor availability. It was also impacted by the raw material challenges. And in some cases, some of the particular petroleum based products had a greater impact on appliance than necessarily what they did in transportation, believe it or not. So, we are seeing an outsized growth there. I can communicate this. I was on a call with my head of the appliance market earlier this week. And he indicated that one of our major customers, GE, is increasing substantially their volume production. They've been able to now get labor availability into their plants and the locations. That was a big negative for their ability to produce. And so, we're seeing an outsized increase in that business. And I would say that as we sit today, the number is north of $15 million is the expectation for the appliance business in 2022. I want to make sure I get the year right, and have some upside to that number.
John Nobile: Okay. So, would you say that that's actually -- I could do the math, but a higher percentage of revenue -- total revenue coming from appliance in 2022 of automotive?
Doug Cain: Yeah. Slightly higher, yes. And again, part of the challenge there, it's almost back to the same conversation I had about EVs. Because with transportation being so depressed, even if something that is 10% of your business increases a lot. If the 80% increases a little, it overwhelms it on a percentage basis. But we're clearly seeing wins in that business. We're expanding our -- what we're doing there, our COI, as I mentioned before both in 2021, was higher in appliance as a percentage basis. And when you look at our 2022 COI to date, the appliance business is also an outsized percent to what we're seeing, as well as our consumer goods business. So, we're seeing that diversification continue, which is something we had committed to some time ago.
John Nobile: Okay. Great. Well, Doug and Brian thank you for taking the call and my questions. That’s all I have. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. Ladies and gentlemen, that concludes our Q&A session. I will now hand the conference back to Doug Cain, President and CEO, for closing remarks. Please go ahead.
Doug Cain: Thank you, operator. And again, I appreciate everyone's investment of time this afternoon for the earnings script and the questions. And I would just say that as I mentioned earlier, going back to Q1 of 2021, we were somehow earlier. We didn't realize the severity of it for sure, but we were earlier in recognizing the negatives and took actions appropriate. Unfortunately, the other challenges out there in the marketplace made this difficult to be realized. But in the same token, and maybe we are a little more positive than others, but everything that we see specific to our business and our customers and our platforms and our locations is more positive than it has been in quite some time. That's the reason that we felt, as a management team, comfortable with providing forward guidance, we'll call it our revenue, which is something we're committed to continuing to do, and we believe that the outlook is positive. There certainly are the negatives, whether it was the Japan earthquake, whether that's the issue with Ukraine and what happens there. But in a perverse sense, the challenges and issues that are there because Unique Fabricating happens to be basically a North American business, shipping into North America with no exposure to shipments, limited exposure to shipments outside of North America. And if there are challenges outside of North America, the scarce resources, whether it's chips or whatever else it may be, we believe we'll find their way more predominantly to North America. And we will see potentially at least an offset to some of the other challenges that may reduce production. So, this is another reason why we are positive about the future. And again, appreciate your investment of time. And I look forward to talking with you individually as need be, or if not, we'll talk to you on a call in a short few weeks. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.